Operator: Ladies and gentlemen, welcome to Luckin Coffee's Third Quarter 2024 Earnings Call. All participants will be in listen-only mode, during management’s prepared remarks, and there will be a question-and-answer session to follow. Today's conference is being recorded. At this time, I would like to turn the call over to Ms. Carol Liu of Investor Relations Manager of Luckin Coffee for prepared remarks and introductions. Please go ahead.
Carol Liu : Hello, everyone, and thank you for joining us today. Luckin Coffee announced its third quarter 2024 financial results earlier today. Today, you will hear from Dr. Guo Jinyi, Chairman and CEO of Luckin Coffee; and Ms. An Jing, CFO of Luckin Coffee. After the company's prepared remarks, there will be a question-and-answer session. We will be referring to a slide presentation on today's call, which can be found on the company's IR website investor.lkcoffee.com. During today's call, the company will be making some forward-looking statements regarding future events and results. Statements that are not historical facts, including, but not limited to, statements about the company's beliefs and expectations are forward-looking statements. Forward-looking statements involve inherent risks and uncertainties. Further information regarding these and other risks is included in the company's filings with the SEC. With respect to any non-GAAP measures discussed during the call today, the accompanying reconciliation information related to those measures can be found in the earnings press release issued earlier today. During today's call, Dr. Guo will speak in Chinese, and his comments will be translated into English. Now I would like to turn the call over to Dr. Guo Jinyi, Chairman and CEO of Luckin Coffee. Dr. Guo, please go ahead.
Jinyi Guo: [Foreign Language] Hello, everyone. Welcome to today's earnings conference call, and thank you for your continued interest in and support of Luckin Coffee. I'm Guo Jinyi, Chairman and CEO of Luckin Coffee. Despite facing a complex market environment, I'm pleased to report that the company achieved solid growth in the quarter this year. Thanks to our unique business model, expanding scale advantage, ongoing product innovations and the leading brand strength, for the first time ever, our single quarter revenue surpassed RMB10 billion and both revenue and profit reached new highs. These achievements are the result of the collective efforts of all Luckin Coffee employees and the support and love of our more than 300 million cumulative transaction customers. I would like to take this opportunity to express my heartfelt thanks to them. Looking ahead, we will continue to focus on our established strategy, deepen on our domestic store layout, continuously expand market share, further consolidate our leading edge and strive to enable more consumers to enjoy high-quality cost-effective products. We are committed to promoting the sustainable and healthy development of China's coffee market. [Foreign Language] Please turn to Page 5. Looking into our numbers, in the Q3 of this year, we maintained growth momentum from the Q2 and the business performance continued to improve. While steadily expanding our store network, we saw both revenue and profit reach new highs. Total net revenue was RMB10.80 billion marking a 41.4% year-over-year increase. Operating profit was RMB1.56 billion with an operating margin of 15.3%. Net profit was RMB1.3 billion, reflecting a net margin of 12.8%. Self-operated store's operating profit was RMB1.75 billion with a self-operated store operating margin of 23.3%. In the Q3, the total number of nine new store openings was 1,382. Our cumulative number of transacting customers exceeded 300 million and the number of monthly average transacting customers was 79.85 million. Our CFO, An Jing, will share further financial details later on this call. [Foreign Language] Please turn to page six. In terms of stock profit, the stock footprint in the domestic market, we continue to deepen our store layout, adding 1,374 net new stores, bringing the total number of stores in Mainland, China to 21,298. Among this, there are 13,891 self-operated stores and 7,407 partnership stores. Further expanding our leading advantages in store counts and the market layouts. China's coffee market is currently experiencing a strategic period of rapid development with coffee consumption, growing in popularity, and the market stake extending swiftly. Facing this valuable opportunity, we will continue to prioritize our store layout strategy by increasing density in top-tier cities, so maintaining our efforts to extend into lower-tier cities. In the international market, we continue to make steady investments in Singapore this quarter with a net increase of eight stores bringing the total number of stores to 45 at the end of this quarter. We have been operating in Singapore for a year and a half now. Although, the overall business in Singapore has not yet achieved profitability, the markets have significantly narrowed and overall operations are moving in a positive direction. Looking ahead, we will steadily expand over these markets on an ongoing basis. Explore and create innovative organizational models for international business and continuously increasing investment, driving to enable consumers worldwide to enjoy Luckin Coffee’s high-quality coffee and services. [Foreign Language] Please turn to Page 7. In this quarter, Luckin Coffee has launched 28 Freshly Brewed Beverages along with several light food products, expanding our product foundries to provide our customer with a more diverse range of choices. In August, we introduced the light milk tea series, and the light Jasmine milk tea has sold more than 44 million cups in its 1st month. Centered around the concept of coffee in the morning, tea in the afternoon, we are committed to meeting consumers diverse needs during non-coffee hour, achieving all-day and all-scenario coverage of our product offerings. In addition, the Little Butter series launched at the end of September received vast rate of plan with 1st week sales exceeding 13.33 million cups. During this quarter, we also successfully launched several branding collaborations including Black Meats Wukong, Sam Wang Lupi and Butterbeer, all of which were well-received and supported by consumers. By the end of the Q3, the number of cumulative transacting customers surpassed 300 million with the number of monthly average transacting customers increasing by more than 10 million compared to the previous quarter, reaching 79.85 million at a new high. To ensure stable supply for our over 20,000 stores, we are committed to increasing investment in our supply chain. In August, Luckin Coffee broke ground on its new innovation and the production center in Qingdao. This center, along with the two major roasting plants in Kunshan Jiangsu and Pingdan Shijian, will form a roasting supply network with an annual capacity of 100,000 metric tons. Moving forward, we will continue to enhance supply chain integration to ensure that every cup of coffee our consumer purchase is of consistently high quality. In addition, we are intensifying our procurement efforts in premium coffee beans regions worldwide. Luckin Coffee entered into a series of letters of intent to purchase approximately 120,000 metric tons of coffee beans from Brazil over the next 2 years. Moving forward, we will further accelerate our procurement plans in coffee producing countries across Southeast Asia, Africa, Central America and South America, bringing high quality coffee bean from those regions to Chinese consumers. [Foreign Language] Luckin Coffee is deeply committed to the sustainable development of our entire supply chain, and continuously enhance our communication and collaboration with places of our regions, setting standards, conducting training, and providing support to boost the sustainability of source cultivation. This not only improves the quality and the yields of raw material, but also contributes to the protection and enhancements of the ecological environments in this region, as well as the living standard of coffee farmers. In September, we invented experts from relevant use to our green coffee in processing plants in Baoshan, Yunnan to provide training for local coffee farmer and business representatives on the coffee industry, regenerative agriculture, and the biodiversity conservation. We also organized the factory and the local community volunteer to form a volunteer service team to support the sustainable development of Yunnan coffee and the protection of the local environment. In the third quarter, Luckin Coffee completed the Brazil stock coffee, global coffee research plan. As a groundbreaking ceremony of the Qingdao factory in August, they joined hands with his Excellency, Marco Scholar, the Brazilian ambassador to China, and jointly launched the Latin coffee, Brazil coffee culture festival. Brazil with long history of coffee cultivation and the world's largest coffee production capacity. Has extensive practical experience in sustainable development, including regenerative agriculture and agricultural production technology innovation. We will continue to collaborate with Brazil's coffee oreganos, establishing office and support centers for farmers, promoting responsible sourcing, farmer assistance, coffee culture exchange, and regenerative agriculture research. This will foster practice and exchange learning and implementation among global coffee producing regions, contributing to the sustainable development of China's four coffee producing areas and global coffee regions. These are the key highlights of our performance in the Q3. Next, I will now turn it over to our CFO, An Jing to present the financial data and the commentary.
Jing An: Thank you, Jinyi. Good morning, afternoon and evening, everyone. Thank you for joining today's call. We appreciate your continued interest and support. I'm Jing An, the CFO of Luckin Coffee, and I'm excited to share our financial performance for the Q3 of 2024. Before we go over the results, I want to express my gratitude to our hardworking employees, loyal customers and trusted investors. Your continued support is crucial to our success, and we are dedicated to providing value and innovation in the coffee industry. Now I'll take some time to highlight our 2024 third quarter result in detail. Please turn to Slide 10. Let's start with our financial highlights. I'm pleased to share our strong Q3, 2024 results. Total net revenues of Q3, 2024 reached RMB10.2 billion, reflecting a large increase in 41.4% compared to RMB7.2 billion in the same period of last year. This growth was mainly driven by an increase in the number of product sales and expansion of stores in operation and a notable increase in monthly transacting customers, despite a decrease in the average selling price of our products. Revenues from product sales were especially strong, totaling RMB7.8 billion, representing a year-over-year increase of 46.3% from RMB5.4 billion in Q3, 2023. This reflects our focus on expanding product offerings and enhancing our customer engagement. Net revenues from freshly brewed drinks, our core product category, reached RMB7.2 billion in Q3 2024. Revenues from self-operated stores totaled RMB7.5 billion, marking a 45.9% increase year-over-year. Same store sales growth for sale operated stores in the Q3 was negative 13.1%, compared to positive 19.9% in the same quarter of 2023, due to the exceptionally high base from last year. The same store growth is improved quarter-by-quarter, and we are actively working on maintaining this trend. Also, revenues from partnership store amount to RMB2.3 billion, a strong 27.2% increase compared to Q3, 2023. Meanwhile, our operating income for the quarters was RMB1.6 billion, representing an operating margin of 15.3%. As we continued to explore and expand our business in international markets, we have successfully opened 45 self-operated stores in Singapore. By the 1st 9 months of 2024, net revenues from the Singapore market amount to RMB91.4 million while cost and expenses mainly including store operations, regional expenses and its overall cost incurred at headquarters totaled around RMB167.7 million. Slide 11 shows our store operating information. Our store growth remains strong throughout Q3. We saw a net income of the 1,382 stores resulting in 6.9% quarter-over-quarter growth from the number of stores at the end of Q2. The total includes eight new stores in Singapore, bringing the total stores in Singapore to 45. We then score our ongoing efforts to explore and expand in international markets. By the end of the third quarter, our total store count reaches 21,343, including 13,936 self-operated stores and 7,407 partnership stores. Our average monthly transacting customers in the third quarter reached 79.8 million, an impressive 36.5% increase compared to 58.5 million in the same quarter of the last year. This is strong growth, not only highlights success of our customer engagement and the retention strategies, but also position us favorably against the competition and the changing customer preference. Next, let's move on to the details of our profitability’s. Please send to slide 12. On a group level, our reported overall operating margin for the third quarter was 15.3%, up from 13.4% in the same period of last year. This rise in profitability is mainly due to changes in our product structure, which boosted the gross profit of our products. Additionally, our enhance the operational efficiency and the operating average significantly contribute to the improved financial performance in this quarter. Meanwhile, we reported a net margin of 12.8% in this quarter compared to 13.7% the same period of last year. For our self-operated stores, the profit margin remain stable at 23.3% this quarter compared to 23.1% in the same period of last year. During this quarter, the company's overall operating expenses increased by 38.2% year-over-year. Mainly due to our business expansion efforts, our general and administrative expenses remain stable at 6.3% of revenue in Q3 2024, down from 6.7% in Q3 2023. In absolute terms, G&A expenses increased by 32.3% year-over-year, mainly driven by higher payroll costs, greater research and development spending, additional office supplies, and an uptick in share-based composition. Relative to the previous years, our sales and the marketing expenses as a percentage of revenue increased to 5.8% from 5.3% in the same period of last year. In absolute terms, these expenses rose around 53.2% year-over-year. This increase is a result of our strategic investment in boosting brand recognition, expanding product education initiatives, and fortifying our market positions through multiple channels. Also, the rise in commission fees paid to the third-party delivery platforms was needed to handle the increase the value of volume to -- the increased volume of delivery orders. Loss expenses related to the previous reported fabricated transactions and related restructuring were negative RMB102.5 million in this quarter compared to RMB3 million in the same quarter of 2023. This large change is because the company become entitled to receive excess compensation of $15 million which is about RMB105.2 million, and there is DNO insurance, directors and officer’s liability and the company reimbursement insurance following the receipt of the base layer composition. Then let's move on to the balance sheet and the cash flow statement on Slide 13. Our disciplined approach and robust cash position allow us to maintain both balance sheet strength and flexibility, positioning us to effectively navigate the current macro environment. During the Q3, our net operating cash inflow remains consistent at RMB1.3 billion compared to the same period last year. As of September 30, 2024, we have about RMB4.8 billion in cash, including cash and cash equivalents, restricted cash term deposits and short-term investments. Our strong cash flow generation and the healthy cash position continue to support our ongoing requirements, ensuring we can meet all of our business needs and provide additional growth potential. In closing, I want to recognize our team for their dedicated efforts and the Catalyst work to evaluate the Luckin Coffee experience in our stores, at our rosary plants and in our support centers. Their strong commitment and hard work have been the grounds of our success. And I want to extend my deepest thanks to our employees for their invaluable contributions. To add, I would also like to express my sincere appreciation to all our investors for their unwavering support and confidence in our vision. We strive to continue to deliver strong execution and growth moving forward. We remain commitment -- committed to meeting the ongoing needs of our customers and establishing Luckin Coffee as a leading coffee brand worldwide. I will now turn it over to Jinyi for concluding remarks followed by Q&A.
Jinyi Guo: [Foreign Language] Behind the continuous milestone achieved by Luckin Coffee, less the hard work of our Luckin Coffee employees, the love of our consumers to support and encouragement from our partners and the trust of our investors, on behalf of Luckin Coffee, I would like to extend my sincere gratitude to our stakeholders who care for and support us. Looking ahead, Luckin Coffee will continue to deepen its store layout strategy. sustain product innovation, strengthen brand advantages and increased supply chain investment to further consolidate and expand the market-leading position. While focusing on business growth and market share improvements, we will further optimize our cost structure and enhance operational efficiency to create long-term sustainable value for customers, shareholders and all stakeholders. Additionally, Luckin Coffee will place greater emphasize our social responsibility, uphold the concept of sustainable development and closely align with the company's core values, striving to build Luckin Coffee into a world-class coffee brand and create greater value for society. Thank you all. Let's move on to the Q&A session.
Operator: [Operator Instructions]. And our first comes from Yongjian Yi from Minsheng Securities.
Yongjian Yi : [Foreign Language] Thank you, very much for taking my question. My question is about the same-store growth. How does the management will fluctuations in SSG metric? And the recent [indiscernible]. Additionally, could you provide us with more insights into the future outlook for the SSG metric? Thank you.
Jinyi Guo: [Foreign Language] Thank you. The same-store sales growth is a very important metrics, and we always keep attention on that. So, I would like to turn this question to Ms. An Jing to answer. Thank you.
Jing An: Okay. So, the company, we have consistently paid close attention to this indicator. And over the past few quarters, as you mentioned that the SSFG has experienced a significant fluctuation, which is largely due to our strategic positioning amid the rapid growth of China's coffee market and the heightened industry competition. So, the faster pace expansion of our store network and the 9.9 promotions since June 2023 have notably impacted our SSFG. Overall, we think the fluctuation in SSFG align with our expectations. And we believe that last year's rapid expansion will ultimately support our long-term development. We have now as you all know that we have now surpassed 20,000 stores, providing us with a considerable scale advantage. In this quarter, the SSFG, we just mentioned that the self-operated store SSFG is negative 13.1%, never even compared to previous quarters. This improvement is mainly because the average selling price of this quarter exhibited a smaller deviation from the same quarter last year compared to the price difference observed between the preceding quarters and their corresponding period of last year. And as and now we shifted to a more memorable pace of expansion and as the price gap to further reduce, we anticipate further improvement of the SSFG in the upcoming quarters. Looking ahead, as the company enter a more stable and sustainable growth pace, we will continue to closely monitor the same store sales. These metrics will not only serve as a key reference of accessing our marketing performance, but we believe that will provide the valuable insight for our strategic decision making. By leveraging this insight, we aim to refine our store opening strategies to ensure new locations align with market demand. Additionally, through sales trend analysis, we will actively pursue the product innovation and our opportunities to boost our overall competitiveness and ensure that's steady and sustainable growth. That's my answer. Thank you.
Operator: Our next question comes from Xin Yi Chang from CITIC Securities. Please go ahead.
Xin Yi Chang: [Foreign Language] Thanks, management. This is Xin Yi Chang from CITIC, and congrats on another strong quarter. My first question is about overseas expansion. Could you share more details or maybe more color of Luckin plan to go abroad? And also, is there any update to the company's global capital market strategy? Thank you.
Jinyi Guo: [Foreign Language] Yes. Thank you for your question. So, going to abroad is a very important question that we always think about that. And today, I would like to share some systematic thinking about the thing. So overall, our Luckin Coffee's vision is to create a world-class coffee brand and become a part of everyone's daily life. So, we believe that to achieve this, in addition to financial indicators such as revenue, profit and market value, it should also reach world-class levels in indicators such as the number of stores, coverage and brand image establishment and international influence. So now Luckin Coffee is striving to doing that. [Foreign Language] So, if we're looking at the global market, the Chinese markets have a large customer base, strong consumption power and the broad market space, especially with the accelerated development of coffee consumption happens in recent years. The market potential is continuously expanding and ceiling for the development of the China's cofree industry as a whole is still rising. So, we firmly believe that China will one day become the world's largest coffee consumption market. So, facing this historical opportunity, we will continue to focus on our domestic markets, further strengthen our network and continuously consolidate and expand Luckin's industry-leading advantage to capture the maximum benefit from the industry's rapid development. [Foreign Language] So, compared to the domestic market, the overseas customers already have developed -- already have a very mature coffee consumption habits, so making the overall overseas market generally mature. So, our overseas business is still in a very initial stage of exploration and investment. We still need to continue to increase investment in areas such as store network expansion, supply chain enhancement, brand establishment, the gradually refine and form core advantages in cost structure and the customer experience, striving to win the reconciliation and favor of local consumers. [Foreign Language] So, although our initial exploration in Singapore has resulted in some financial losses, it has provided us with an invaluable experience and insight into the complexity of the overseas operation. The international market is full of opportunity, but it also presents significant challenges. It indeed requires patience, time and continuous investment. So, we remain both patient and confident in our ability to succeed. Meanwhile, we are actively evaluating opportunities in United States and other markets. Given the maturity situation and the competitiveness of the U.S. coffee market, we are intend to approach our expansion strategy there with careful consideration and disciplined execution plan. So, going forward, we will pay close attention to overseas business and communicate progress to the market in a timely manner. Meanwhile, we will also actively explore and create innovative organizational models for international business, expanding our overseas presence through more suitable methods and flexible strategies. [Foreign Language] So, regarding to your second question, so in terms of the overseas capital markets, as communicated before, we will continue to monitor the U.S. capital markets. However, our primary focus remain on executing the company's business strategy. So, given the complex market and the regulatory environment, there is currently no definitive timetable for an uplifting on the member. For now, we will continue to focus on business development, aiming to increase market share by delivering high quality products and services to our customers, while creating sustainable long-term value for our shareholders. Thank you.
Operator: Due to time restraints, no further questions will be taken at this time. This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Carol Liu: Thank you, Dr. Gou and Ms. An. So that is all the time we have for today's earnings conference call. We thank you for your participation on today's call. We look forward to providing you with regular business updates and look forward to speaking with you again next quarter.
Operator: This concludes your call today. You may now disconnect.